Operator: Thank you for standing by, and welcome to the Gold Road Resources June Quarter Results Conference Call. All participants are in a list only mode. There will be a presentation followed by a question-and-answer session. [Operator Instructions] I'd now like to hand the conference over to Mr. Duncan Hughes, Manager, Corporate Development and Investor Relations. Please go ahead.
Duncan Hughes: Thank you, Jessie, and welcome everyone to our June Quarterly Analyst Call. This quarter saw us celebrate our first year of production at Gruyere. Operations produced just over 230,000 ounces of gold since our first gold pour on the 30 of June 2019. This is a great achievement, and was delivered at an average all in sustaining cost of Australian AUS1,155 an ounce, since commercial production was declared in September 2019. We still live in uncertain times with the coronavirus pandemic. And like peers, we've been proactive in taking measures to protect our people, our community and our business. To date, we have suffered no material impacts on production from COVID-19, as in Australia is in a great situation, but we remain concerned things could go downhill given the escalating situation in eastern Australia and overseas. The strong West Australian border controls are creating a few minor issues for us with specialist contractors, but on balance we see it as strongly positive to minimize the risk of lockdown-controlled measures in Western Australia. The presentation today we will be referring to the quarterly analyst slides that can be viewed on the live webcast or on our website. Quarterly activities report and a more comprehensive investor presentation has been released on the ASX platform and can also be viewed on our website. On the call today, we have Duncan Gibbs, our Managing Director and CEO; Justin Osborne, our Executive Director, Discovery and Growth; and Tony Muir, our General Manager, Finance. I’ll now hand over to Duncan Gibbs, to talk to our production and corporate results.
Duncan Gibbs: Its Duncan, and thank you to everybody, for joining us today. Basically, if we can turn to the June quarterly summary slide and as you can see there that South Gruyere produced 100% basis, 71,865 ounces at an all-in sustaining costs of AUS1,233 per ounce for the quarter. It's a significant step up in production from the previous quarter, where we produced 59,595 ounces. And payment at an increasing all-in sustaining costs from $1,150 per ounce. Again, operations expense capital on the tailings dam raise, which we previously flagged and we commenced mining with the second fleet during the quarter. Production was achieved without a single lost time injury during the quarter. And if I can turn to the key points, I guess, in some of the detail numbers. Firstly looking at mining, mining have a material movement in the June quarter, increased from 4.6 million tonnes to 5.9 million tonnes, and that was associated with the ramp up in mining rate as we mobilized the second fleet. We've had a few type of related shipment issues of the new 830E trucks, and so roughly that's been mitigated use of our rehandle equipment. That's already on site for a year. We'll note, that our expense mining costs have reduced, which is driven by lower waste movement in the Stage 1 pit, despite the increase in all volume mine. The type of mining movement increased coming from the Stage 2 cut back, and the main contributor to the increase in sustaining capital quarter-on-quarter. Mining costs are generally in line with our estimates, although we've seen some increases in drill and blast, and we're working on a AI program at the moment to bring those costs back down. Mine grade pretty much in line with our reserve expectations for the quarter, and also very consistent with the plant’s grade. Also, essentially unchanged at the end of the quarter, 3.2 million tonnes at the grade reserve 0.7, which was built up in the early stages of the operation, providing us with the insurance offering in these uncertain times. Processing plants, the plant availability was stronger during the quarter, 88% availability and really progressively improved through the quarter. It's still below the BFS levels of 91.3% availability, and we're still working to achieve those levels in the second-half. At Gruyere ore tonnes milled totaled 2.2 million tonnes at a mill head of 1.06 gram per tonnes, with the gold recovery of 93.1%. Of the lower availability on an annualized basis, the plant delivered at an annualized rate of 8.7 million tonnes, which is well above of the BFS design, albeit on mix the softer oxide fresh rock ore. I indicated both grade pretty much in line with mine grade and in line with the reserve. Recovery up slightly against the BFS model numbers. The quarter-on-quarter basis, process plants costs improved on a dollar per ounce basis, largely driven by the increase in gold production other than expected rate, we actually used but slightly offset by higher than expected maintenance costs. The higher maintenance cost reflect the work that we're doing to improve plant reliability and availability, with good progress made during the quarter. Over time, we expect the maintenance costs come down as reliability and where issues with plants are resolved. During the quarter we sold 28,700 ounces at an average realized price of AUS2,498 per ounce, 37% of the gold ounce transferred was spot and reflects as much as the quarters original solid files were pretty deliberate in the previous quarter. And we've also rolled about 10,000 ounces from gold during this quarter and next quarter into longer positions, really to reduce our hedge exposure commitments during the uncertainties associated with the type of plant thing. But at the end of the quarter, we held 5,330 ounces of bullion. And we may continue to hold a portion of call it bullion in the end of month, end of quarters, to mitigate a hedged delivery risks, but also note that our liquidity positions improved strongly throughout quarter, reducing other measures that we may need to do to mitigate that risk environment. During the quarter Gruyere reported a free cash flow of AUS23.8 million. And it's important to note that that free cash flow excludes the value of gold bullion and dore held at the end of the month. This was short sold, I'm sure you could realize that selling additional AUS5,333 per ounce would have around about $14 million direct cash flow, bringing us closer to about AUS38 million for the quarter. Let's go now to Slide 4, financially, the business is in a very good position. We are now debt free, having paid AUS55 million of debt during the quarter, and we repaid the remaining AUS25 million of debt on the 21 of July. We now have cash in equivalents of over $85 million net cash on the balance sheet, after just over nine months of commercial production, with a strong liquidity buffer retained in these times of uncertainty. If you refer to a cash and equivalents movement chart, our hedge position sees us, which I'll let you peruse the details. A hedge position sees us delivering about [indiscernible] percent of our production into hedges between now and by the end of ‘22. The detailed breakdown of the hedge book is contained within the quarters both reports. Gold Road’s quarterly, CAIC was $1,537 per ounce. This was slightly higher quarter-on-quarter as a result of the increasing all-in sustaining costs, I suspect this remains one of the lowest in the Australian gold sector. On the corporate front Gold Road held its AGM on 28 of May, a virtual event, which was a bit novel, but where all resolutions were passed. During the quarter, we also appointed Maree Arnason, as a non-Executive director. Marie comes back with a strong credibility and a focus on risk strategy and sustainability, and will support Gold Road's growth and reputation as an ASX 200 gold producer. Turning to Slide 5, and our 2020 annual production guidance. Guidance in terms of production remains unchanged at 250,000 to 285,000 ounces on 100% basis. However, we've increased the all in sustaining cost guidance for Gruyere about $50 an ounce. And now that sits in a range of AUS1,150 to AUS1,250 per ounce. AUS50 increase in annual in all in sustaining costs is related to higher royalty payments. We made the assumptions on a much lower ore price towards the end of last year and increases in maintenance costs, some filings dam expenditure increases and some other provided '19 expenditures. All in sustaining costs are expected to peak in a range of AUS1,250 to AUS1,350 in the next quarter, as a result of increased waste stripping completion of the BSF. And once those done it will subsequently reduce in the following quarter. The second fleet mobilizing for site and should become fully operational in the September quarter. And the image on this slide shows the latest generation Komatsu 830E truck, which is a new, highly efficient, latest kind of gear out of Komatsu. And that provides us some operating efficiencies and ultimately things like reduced greenhouse gas emissions. At the major sustaining CapEx item for the 2020 budget as the TSF rise, which is well advanced, that’s around about 65% completed at the end of the quarter. And this should be essentially complete during the September quarter. Not factored any COVID-related production impacts into our guidance. And we don't have any identified risks or it's possible that government actions that contained COVID-19 outbreaks in every way, that obviously impacts the business. Certainly, there are potential international supply chain issues, but nothing that we have identified at the current time. If I can turn to the next slide, and I'm sure by now you're all familiar with the Gruyere long section. We've been using similar diagram for this one for now a period of time. And from last year, of course, we added about 1.2 million ounces from indicated resources from inverting in resources and indicator resources, which we see it's providing a foundation for the growth of the reserves. And certainly the strategic intent is to get those increasing indicated into the reserve. Gruyere continues on the potential to extend those reserves. And we've had technical and meterological drilling programs commenced through the quarter, as well as drilling we need to understand the rock mass from the mapping of those rock exposures in the pit, once we've got all the right information together, we can in fact have that info and we'll have you into a larger design. So that work is progressing and just getting the work done. A quarter three really marks the first quarter of fresh rock mining and processing. We anticipate there’s some work to do in bedding down the mining and operating performance and costs as we go through fresh rock, and that'll occur really over the next six to nine months. That becomes an important input into the life of mine reserves. We've completed various reviews on the plants and seeing maximizing throughput is really driven around purely the SAG mill configuration. We need to get that right to get the best out of the circuit as a whole. So it's really around operating practices and the configuration of the mill rather than a need to spend capital on the bottlenecking projects. We are working on various studies to looking at site power generation at the moment to support higher throughput levels, and that's likely to include additional cash generation capacity in the power house. We're also looking at automating that with solar and battery and we have studies in progress at the moment, working with the powerhouse vendor on those power solutions. I'll now hand it over to Justin, and he'll give you an update on exploration progress for Gruyere and in our original Yamarna and in the Cygnus joint venture down on the South-west Yilgarn.
Justin Osborne: Thanks, Duncan. It's a pleasure to be presenting today. As we celebrate 12 months of production at Gruyere and only still it’s less than seven years since we discovered the ore body. If I turn over to Slide 7, the map they're about 100% tenement holding at Yamarna. Now gold remains to deliver meaningful discoveries that can yield a second mining operation for the Gold Road Company. And so, our effort and our activity is focused on the amount of tenement holding. It's the main area of focus and retainer efforts on the other discovery of world class deposits in this region. To that effect, we've got four rigs currently operating at Yamarna, there's two aircore rigs, one RC rig and one Carmen [ph] rig. We've had those operating for most of the year. Exploration activities this quarter, largely focused on aircore programs with some complimentary stratigraphic diamond drilling on the same targets, to give us some idea of the underlying geology early on, which helps with our aircore programs. Laser focused on our highest ranking targets in the southern project area. For the last couple of years, most of our focus has been on the main Dorothy Hills and the amount of trends, where drilling is concentrated really over the last two to three years. A few is that we have potential to find more potentially golden highway style mineralization, which hundreds of thousands of ounces potential along with the amount of shear in particular, but the greater likelihood of finding significant larger discoveries is in the central zone of the sales demand and project area. We have more complex geology and more favorable rock cuts. That's where my surveyor focus is this year. Well, drilling has been ongoing, we've continued to review and update the existing target portfolio with our expanding geological knowledge base. My great advances in this area over the last four months were the injection of some industry leading technical geologists into a team. And we've really made -- we're seeing sort of a real acceleration in the understanding of the geology in the area. And that's being translated into generation of new target areas really over the last few months. Over the quarter we tested five milestone one targets. We've received results from the Hirono prospect, which we drew through the March quarter. We've identified notable target areas for follow up and drilling is now being planned in that area. I got read back, I got which is right down in the southern part of the tenement. We've just recently completed an RC drilling program through relatively -- it’s better compared to other parts of the tenement, still 50 to 80 miles to cover. That's already identified some gold anomalism, we're just following that up now with plans for drilling for the next quarter. We continued testing milestone in one targets to generate new anomalies throughout the rest of the tenement holding. Milestone 2 drilling which is a little more advanced, focused on the high ranking Savoie part, which is in the eastern side of the Southern Yamarna belt. If completed, about 3,000 meters over 15,000 meter aircore program drilling is in progress with one aircore rig and a second rig is due to commence there in the next couple of weeks. And we're already identifying gold anomalies in areas there. So we're holding that prospect, to be excited about that one, and it remains our highest ranking target at the moment. Drilling at the Gilmour, and the Drilling deposit completed 382 meters of carbon drilling early in the quarter, our RC holes on previous sorry -- [indiscernible] previous RC drill holes in a sector, mineralization north of the current mineral resource. And we're now working on a resource update and some potential follow-up and we've been drilling on that prospect as well. It's fair to say at Yamarna exploration is continuing on early stage. And we have four rigs actively exploring on at the moment. Moving over to Slide 8, we have the Cygnus joint venture project. This project we've been in joint venture with Cygnus for about three years now. We've recently completed our 75% earning on the Lake Grace project and Yandina we have over 75%. In fact, referring to the quarterly old net, we now own about roughly 85% of Lake Grace and 88% of Yandina project. So results from almost 16,000 meter echo program completed on the Hammerhead project during the March quarter received. And we're committed to follow up drilling through this quarter. In this sector widespread gold anomalies in coincident with interpreted traces of the Yandina Shear. We confirmed at least eight discrete gold targets and they've all been followed up more recently. We now just literally finished that follow up the echo program yesterday, and we'll be waiting on results for that. Interestingly, some RC drilling that was completed there, I'll refer to partners, Cygnus actually released this morning that highlights some RC drill hole results on the Gunsmoke prospect. Referred to the ticker on the ASX and it's also under our ASX platform. They intersected multiple intersections in an RC hole at Gunsmoke, putting out meters at 1.05 grams per tonne in -- sorry -- within an 88 meter zone of mineralization. So, as people refer to that recent release from Cygnus just this morning. Interestingly, following the Gruyere [ph] discovery by chance in this region, to the northwest of us, we've seen significant ground pegging in the area, which includes 10,000 square kilometre. I can just land picked up by Anglo-American Mill to the west of us. We're now looking for nickel PG mineralization similar to what's been in the sector the [Indiscernible]. We must keep our eyes open to this style of mineralization. In fact, we have reviewed some areas of that tenement holding and recently picked up some additional tenements. Also to the west of like West tenement for the similar style targets. That's all for the exploration. And now I'll hand back over to Duncan Hughes.
Duncan Hughes: Thanks very much for tuning in. We're now open to questions. I will now hand you back to the operator.
Operator: Thank you. [Operator Instructions] First question comes from Levi Spry with JPMorgan. Please go ahead.
Levi Spry: Hi, good morning, Duncan and Justin. Thanks for the call. Just a question on as you transition into fresh rock mining over this half. Can you just walk us through any specific risks that you're -- you are alert to as you get into more hard rock?
Duncan Gibbs: Yes. Not really. I think, Levi, as you know, the reality is on the mining side of things, we've been transitioning into fresh rock for a while. I don’t think any new operation, you guys were a bit of a learning curve on blasting and making sure you got the ability right. We thought it sort of adding the last quarter but looking forward, we're pretty confident on delivery. As I flagged in my communication, we've had a few delays with down second fleet coming on site. And that's related to that shift running around the planet with COVID-19. But so we've got the bulk of that fleet on site or on site for the next couple of weeks. And we're certainly going to mitigate that kind of delay with the existing gear on site. So, on the mining front we're pretty confident around the delivery side of things.
Levi Spry: Okay. Thanks. And just one question for Justin, I sort of missed there. When you talked about your most exciting target that you talked about RC drilling and potentially some resource drilling, I think in the second-half. So can you just maybe recapture your most exciting target for the second-half drill program as you get back out there?
Justin Osborne: I think the highest ranking targets we have at the moment I said Savoie, which is kind of just on the east side of that central Southern Yamarna area. You see it in the map on Page 7, Savoie aircore. So it's a big thrust complex on the edge of the granite. We've multiple thrusting over the granite from west to east in a large sort of duplex thrust zone. We've got 15,000 meter aircore program in place or in progress there, there's one aircore rig right now and a second is about to commence probably next week. And that's been a highest ranking target from targeting that we completed last year and was really just getting into that. And early aircore drill results that we got from there is definitely confirming that gold anomalism. We're doing aircore and some diamond drilling there as well to have a look at the nature of the structures and the thrust in there. Immediately to the east of that, it’s not really labeled on the diagram, is a prospect called Kingston North, where we've got some really good structural positions. And we're completing some diamond and RC drilling there following up on previous aircore drilling. And then that's probably our second highest rank target. The third rank target is Goat-Redback, which is right down in the Southern part of the tenement holding. You can see a number of red triangles there represent RC drilling. We've been doing through there. It's an area where aircore drilling isn't effective, it's a complicated cover sequence of sands and clays and sort of complicated cover, which is quite difficult for aircore drilling. So we've completed it with RC drilling instead. That program was just completed two weeks ago, and we have identified gold anomalies down there that will need to be interpreted followed up as well. That's really the three highest ranking targets. At Gilmour, we completed two diamond tails on previous RC drill holes, which in the sector mineralization just North of the resource. And we'll be following that up with some resource modeling and potential initial drilling. But that remains at 200,000 to 400,000 ounce resource position. And what we're really looking for is those million ounce style targets. And that's what we'll continue to do.
Levi Spry: Yeah. Great. Thanks for that extra color. Thanks, Justin. And just one last one for Dunkin maybe. On the mining studies, can you maybe just step us through what we'll see in terms of sort of signposts along the way to delivering the updated reserve and resource. So will you put in context, I guess the geotech drilling and things like that as we go or just how will we sort of see the news flow on that front?
Duncan Gibbs: Yes. So look, I mean, we're obviously working through the drilling programs relating to supporting a type of pit [ph]. But I mean, the other key aspect is whether we can stiffen the walls, I mean the walls of most of the pit now look very good. We did have a few early issues in some of the upper strat rocks, so we'll take that on board with future pit designs. But we do need -- it's kind of several pieces of information that they need to come together here for us. One is getting the kind of confidence in fresh rock, our processing and mining costs. The other is understanding the rock mass, and obviously you need a reasonable amount of rock mass exposure that you can map all the data and understand where the critical structures are. So I mean, we see there'll be some increase in the reserve, potentially flows through and normal cycle of updates is in the first quarter of each year. We may see some of that this year. We’ll be more likely -- will be any significant change in the reserves is more likely to be in early 2022 kind of home zone. But you can kind of see the direction we're heading towards and that’s driven by the drilling. So providing all the numbers come together we would expect a lot of that indicative results come through into reserves.
Levi Spry: Excellent. Thanks, Duncan and thanks for the call today. Thanks.
Duncan Gibbs: Thanks, Levi
Operator: Thank you. The next question comes from Tim McCormack with Canaccord. Please go ahead.
Tim McCormack: Good morning guys. I've just got a couple of questions. The first ones on the cash flow waterfall, the AUD26 million change in cash and equivalents looks relatively kind of big. Is that driven by gold you're holding over and kind of revaluing across some investments or something like that?
Duncan Gibbs: Hi, Tim. Yeah, now look at it is quite large. And that really reflects that we're holding bullion and dore this quarter, which is our approach to just ensuring we've got the gold on our balance sheets to deliver into, as you know, a relatively small hedge just in these uncertain times. So it's 5,330 ounces sitting there, which if you priced at spot would obviously form a fair portion of that. The remainder of that is just some investments that we have as a business.
Tim McCormack: Okay, cool. And the second question was just a little bit of an extension to Levi’s [ph] on the optimization study. Assuming a bunch of that kind of converts. What sort of timing might it be in the life of mine plan where I'll push that it might be a bit early, where we're going to have to say a new stage in the pit come into the plan, and will it ultimately displace or defer The Golden Highway or what’s sitting in the middle of the current mine plan will be added into that?
Duncan Gibbs: Yeah, look, I guess we haven't got to that level of understanding at the moment. I mean, we see the opportunities to get to bigger final pitches. My general read is that's likely to require a further stage cut back, but only at this point in time. We also have the option of just making the cutbacks larger. The timing of Golden Highway, obviously, is a relative valuation of that cutback versus The Golden Highway resources. Obviously, they're going to be competing with each other fairly closely. I guess the remaining key elements of course is to come up with a mining schedule, but if you -- this pricing structure with your contractor. So we still have a lot of work to kind of get to that level of detail. I mean we're not there as yet.
Tim McCormack: Cool. And just so I'm clear, the timing on that study is sort of middle of next year, around this time next year?
Duncan Gibbs: Yeah. It's less of a kind of study in capital kind of letters, a lot of it's just us building up operational confidence so that we got the right numbers into the ultimate pit design optimizations and what have you. So as I said, some of it's just getting us operational performance information. So we got clear clarity on where we see the long-term operating cost to be. We got a pay aspect is really around this technical performance in the pit and you done a lot of work off protocol [ph] but there's nothing like having that fresh rock exposure and really understand the rock quality design and so a lot, lot higher confidence and you having feasibility studies and the kind of those studies you use.
Tim McCormack: Yeah, sure. That's all for me guys. Good job and solid quarter.
Operator: Thank you. The next question comes from Peter Arden with Bell Potter Securities. Please go ahead.
Peter Arden: Good morning, gents and I hope you can hear me.
Duncan Gibbs: Yes, good morning, Peter.
Peter Arden: Duncan, if I can start with you just on the aspect of recoveries, very pleasing to see that, they're holding up above the levels you're expecting. Have you done any particular work on that to understand that that's going to be a long-term feature and just why that might be occurring or is it especially given that you haven't fully reached optimal milling rights? Or is it just too early to say?
Duncan Gibbs: So I mean, we've fairly consistently now seen recoveries 1%, maybe slightly higher up the BFS estimates. Of course that's predominantly on oxide ore and obviously that proportion of fresh rock has started increasing during this quarter. So the early indications are perhaps favorable. But I really want to see how it lands over the next six months as we're really into solid fresh rock processing before we kind of want to lock that number away. And obviously, it's another thing that's important to our final life of mine. So I kind of think the early indications are probably favorable, but early to think it as yet. As exactly why, I guess my experience for several operations is often your feas study, stuff I think is a little bit under cooked, recovery. I think in many milling circuits, you kind of get preferential grinding of ore bearing minerals, particularly sulfides. And therefore underground preferential finer grinding on your sulfides probably liberates a bit more gold than what you actually see in lab scale test work. We don't have enough work to kind of prove that. Now we've got to do some further work of course on a fresh rock. That's certainly my experience from other operations.
Peter Arden: Great, thank you. And one small question for Justin on the exploration front, and particularly about the impact or the sort of, I guess, some thrust of the -- you mentioned, Justin that you had input from a bunch of experts. Is that focused in any particular area geochemistry, structural, or just sort of broad geology architecture of what you're seeing and learning more about overtime especially in the southern area?
Justin Osborne: Thanks, Peter. Yeah, so we recruited in through the first part of this year, we've recruited a new Chief Geologist, who brings very broad high-level systems experience, geochemistry experience. He's probably one of the nation's premier brains on intrusive-related geology. So he's brought a whole range of skills. His name's Kevin Cassidy. And then a special structural geologist guy called Jamie Robertson, who's a very experienced structural geologist. So bringing those two skillsets in -- and it’s two skill sets that we didn't have. And then we also have specialist project generation skills in house as well. All of that has really enabled us to -- so that's really enabled us to focus on the geochemistry, the age studying, the photography [ph] and the structure and putting all that together in a real geological framework. We've got dedicated what we're calling framework studies happening at the moment over Yamarna, and over the Southwest Yukon [ph] as well, looking to bring together all that sort of higher level structural geochemical age state sort of geology into a comprehensive framework to help us understand the full sort of big picture geology as well as the detailed targeting. Then in addition to that, to bring it all together, we've been also recruiting geospecialists and database specialists, two guys, Jeff Speerik [ph], and Haley Edison [ph] who really, very, very rapidly built up our capability regarding use the data and analyze the data and view the data. So I think the advances we've made over the last six months have been tremendous.
Peter Arden: Yeah, that that sounds really sensible to me. I mean you've got such a major ground position there. It's obviously such an important province. So I think it's a very wise investment. And it's great to hear that level of technical expertise being harnessed and appreciate it in a good company. Just you’ve basically focused mostly on the exploration. This year's focused mostly on the southern part. But the northern part’s still in the mix, and that’s still getting attention in the northern Yamarna?
Justin Osborne: Yeah, it's definitely still in the mix. And in fact, we've got one rig right up north at the southern end of Coke Wood [ph] where we've done drilling in the past around the targets. So we're drilling about 10 kilometers south of that, was to make hole drilling. And we've got the RC rig at the moment up at the prospect called Bloodwood, where we intersected some mineralization a couple of years ago. We're following up on that as well. So we're still doing work in those areas. But the majority of the work and the majority of the budget will be in South Yamarna.
Peter Arden: Right. Okay, thanks very much, and well done. Great job quarterly. Thanks, guys.
Operator: Thank you. [Operator Instructions]. The next question comes from Paul Kaner with RBC. Please go ahead.
Paul Kaner: Yeah, hi, gents. just a quick one for me, if you can. Could you could you maybe break down your all-in sustaining cost guidance increase a bit further. I mean how much of it is related to sort of the lower gold sold and royalties versus the sustaining spend?
Justin Osborne: Hi, Paul. Yeah, I'll give you some rough numbers around that. So obviously we increased by AUD50 an ounce. So essentially, as I think Duncan alluded to on the call, the pricing we used initially when we set out all-in sustaining costs was much more conservative gold price. So the impact there's been with the higher gold prices is if that royalties spend is higher. So probably about a quarter of that increase is then to increased royalty costs for us. And around about half of that increase is to essentially to maintenance costs, as Duncan outlined in that presentation. So the remaining near enough quarter is other bits and pieces. Some of that would be incremental costs coming through the COVID-19 issues and what we have to do there. So, hopefully that gives you a bit of color on the increase.
Paul Kaner: That gives a bit more granularity. So thanks very much.
Operator: Thank you. There are no further questions at this time. I'll now hand back to Mr. Gibbs for closing remarks.
Duncan Hughes: Thank you for tuning in to the presentation. We're quite happy with how this hopefully has come through and I was on site earlier the week and certainly the Gold Fields team onsite are doing a fantastic job. It really is an impressive operation. So well done for all the crew up there. The production side of things, of course, very strong for the quarter. We're in amazing position for recent developers. And that's been done while we've refined very strong liquidity, and we're likely to keep it that way, while we're in these times of uncertainty. Obviously if costs decrease that Duncan's just run through with the question there. A good chunk of that, I guess we see is really on one off on of expenditures. So we expect that to come out of the numbers once we're through with the current issues with maintenance. So other maintenance things are really around now setting up reliability on the plant. And that ultimately is coming, excellent as part of what actually unlocks the potential for plant by getting the throughput right, kind of more consistent, which also delivers more funds over time. And that's kind of the journey we're on at the moment.